Operator: Hello, and welcome to the American Coastal Insurance Corporation's 2023 Fourth Quarter and Full Year Earnings Conference Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Karin Daly, Vice President of The Equity Group and American Coastal's Investor Relations Representative. Please go ahead, Karin.
Karin Daly: Thank you, Kevin. And good afternoon, everyone. American Coastal Insurance Corporation has also made this broadcast available on its website at www.amcoastal.com. A replay will be available for approximately 30 days following the call. Additionally, you can find copies of the latest earnings release, and presentations in the Investors section of the company's website. Speaking today will be Chairman of the Board and Chief Executive Officer, R. Daniel Peed and President, Bennett Bradford Martz. On behalf of the company, I'd like to note that statements made during this call that are not historical facts are forward-looking statements. The company believes these statements are based on reasonable estimates, assumptions and plans. However, if these estimates, assumptions or plans underlying the forward-looking statements prove inaccurate or if other risk or uncertainties arise, actual results could differ materially from those expressed in or implied by the forward-looking statements. Factors that could cause actual results to differ materially may be found in the company's filings with the U.S. Securities and Exchange Commission in the Risk Factor section of their most recent annual report on Form 10-K. Forward-looking statements speak only as of the date on which they are made and except as required by applicable law, the company undertakes no obligation to update or revise any forward-looking statements. With that, it's my pleasure to turn the call over to Mr. Daniel Peed. Dan, you may begin.
Daniel Peed: Thanks, Karin. Hello, and thank you for joining us on our fourth quarter earnings call. I'm Dan Peed, Chairman and CEO of American Coastal Insurance Corporation. I will provide an overview of results from the fourth quarter and year to date and then turn it over to Brad Martz, who will expand on the financial results. Our core income for the fourth quarter is $17.7 million, which annualized as a 100.6% core return on equity. The core income at December 31st is $89.5 million, which is over a $100 million improvement year-over-year. Net income is primarily attributable to our commercial line segment. The consolidated net loss ratio is 21.2% for the fourth quarter '23 versus 54.3% in the same period in 2022. Consolidated net loss ratio year to date is 22.3%. The consolidated net expense ratio continues to trend downwards, 45.4% in the fourth quarter and 43.7% year-to-date, down from 50.2% and 56.2%, respectively, last year. The net combined ratio is 66.6% in the fourth quarter and 66.0% year-to-date, down from 104.5% and 106.2% year-over-year, respectively. Personal lines underperformed in the fourth quarter and year-to-date, but the impact is smoothed by the commercial line segment continuing to outperform year-over-year. Pretax earnings attributable to the commercial line segment totaled $27.9 million for the fourth quarter of 2023, compared to $3.7 million for the fourth quarter of 2022. The commercial line's underlying combined ratio improved 17.5 points to 50.9% in the fourth quarter 2023, from 68.4% in the fourth quarter 2022. The same improvement holds true year to date, with commercial lines underlying combined ratio improving 13.2 points year-over-year to 53.6% year-to-date for 2023. Earnings also improved as management implemented and achieved its plan for expense reduction in 2023. Policy acquisition, underwriting and general and administrative expenses were all reduced, positively impacting the bottom line. Amcoastal's 2023 results position commercial lines in a solid position going into 2024 and creates opportunities unique to Amcoastal, the largest commercial residential lines rider in Florida behind only citizens, to continue its conservative reinsurance approach, protect its balance sheet and identify opportunities to expand our products to meet the needs of Florida policyholders and create shareholder value. Moving on to personal lines. This segment experienced a pretax loss of $5.2 million in the fourth quarter 2023, but that compares favorably to a pretax loss of $10.6 million in the fourth quarter of 2022. We continue confirmatory due diligence with the potential buyer of Interboro and expect to sign definitive documents shortly, the sale of Interboro will unlock capital and generate liquidity to explore diversification opportunities for our business. In all, net income attributable to the company for the year ended December 31st, 2023, was $309.9 million, or $7.11 per diluted share. Our at-the-market offering raised approximately $38 million to date, which, as we have stated, creates capacity for expanding specialty underwriting, especially during these hard market conditions. As a result of the strong performance of our commercial segment and the improvement in our personal line segment, period-over-period, our book value per common share increased 29.8% from $2.78 at September 30th, 2023, to $3.61 at December 31st, 2023. While competition in the commercial line space is increasing, Amcoastal continues to be a commercial residential leader in Florida because of its well-established reputation, extensive distribution network and underwriting expertise. I expect this unmatched competitive advantage will continue to drive results and deliver value to shareholders. With that, I'll turn it over to Brad Martz.
Bennett Bradford Martz: Thank you, Dan, and hello. I'm happy to review our financial results and encourage everyone to review the company's press release, earnings and investor presentations, and Forms 10-Q and 10-K, including amendments for more information regarding our performance. We entered 2024 with positive forward momentum in our core business. Underwriting actions taken over the past year, combined with expense reduction and a more favorable external operating environment led ACIC to post record results, Dan highlighted for 2023. While we were pleased with our overall performance in the fourth quarter, pretax earnings included non-recurring charges of roughly $8.4 million, $2 million of which was related to impairment of capitalized software and $6.4 million impacted reinsurance costs. Page 6 of our earnings presentation provides some additional color on the charge related to reinsurance, which is actually a good thing, because it will reduce reinsurance costs over time. The reinsurance charge occurred from a voluntary commutation to the 2023 core catastrophe reinsurance program in exchange for a no claims bonus. The $6.4 million incurred in Q4 will be offset by $14.4 million of cost savings over the remaining treating period from January 1st to May 31st, 2024. The net economic benefit to ACIC is approximately $8 million after accounting for the upfront costs incurred in Q4 and the savings expected in Q1 and Q2 of 2024, which are net of costs we incurred to replace the cat limit commuted. A big driver of improvement in the pretax earnings in our combined ratio in the current quarter was the lack of any meaningful catastrophe losses. Catastrophe losses were just $277,000 this quarter, compared to $18.9 million in the same period last year. We continued to see favorable prior year reserve development with $629,000 in the current quarter and feel good about our overall lost reserves at year end. Excluding catastrophe losses and prior year reserve development, our underlying combined ratio improved over 15 points to 67.2% in the current period and was 65% for the full year. We previously stated that our target for the underlying combined ratio in 2023 was 65%, so we're obviously pleased with hitting this goal. Page 7 of our earnings presentation breaks down our results by segment with $27.9 million of pre-tax profit from commercial lines, reduced by a $5.2 million loss from personal lines and $3.2 million of expense at the whole company, which is primarily interest expense. This brought our year-to-date pre-tax profit in commercial lines to over $118 million with a combined ratio of 53.7%. As Dan mentioned, ACIC continues to work towards finalizing definitive agreements to sell Interboro, and we still expect to get that done this year. But completing the sale is now more likely to occur towards the end of 2024. That means personal lines will continue to be a minor drag on overall results this year. However, we did receive regulatory approval in New York for a 12.6% rate increase, effective February 6th for new business and March 15th for renewal business, with an annualized expected impact of $5.9 million. So that is obviously expected to help improve personal line's results in the current period. Page 8 of our earnings presentation provides balance sheet highlights, including stockholders' equity increasing 40% to $168.8 million or $3.61 a share. Unrealized losses on our bond portfolio, $17.1 million or $0.36 share indicated an underlying book value of approximately $3.97. Cash and invested assets totaled $369 million with total assets of just under $1.1 billion. As Dan mentioned, our previously announced at-the-market or ATM program delivered a nice boost to our unrestricted liquidity and our overall capitalization during the quarter. As of year-end, ACIC issued and sold approximately $3.4 million new shares, raising $26.8 million net of selling expenses. Subsequent to year-end, the company sold another one million shares, raising another $11.4 million net of expenses. The ATM has now raised more capital than we originally anticipated, but the dilutive impact was in line with our original expectations. Accordingly, the ATM has now been paused and American Coastal is not anticipating additional sales of its common stock under the ATM program at this time. The big question everyone wants to know is what are we going to do with the $38.2 million raised from the ATM inception to date. And as we've stated previously, we see a tremendous opportunity to grow our net earned premiums over time by retaining more of our direct underwriting results. We've deployed some of this capital to our captive already to support our January 1st AOP CAT reinsurance program, and our excess per risk reinsurance program that was placed at February 1st, on layers with a modeled expected return on capital well in excess of 50%. However, most of the proceeds are being reserved for our much bigger core catastrophe renewal at June 1st of this year. It's premature to comment on our upcoming core catastrophe renewal at June 1st, but we are hard at work on it and can point to the very successful reinsurance renewals at 1/1 and 2/1 as good evidence that we expect to see significant improvements in pricing and overall protection at June 1st, this year relative to the program expiring at May 31st. Page 9 of our earnings presentation summarizes our current view of the underwriting environment. Market conditions remain very favorable for achieving underwriting profitability and above average risk-adjusted returns on capital in the near term. To capitalize on this, we will look to supplement our anticipated organic growth this year by also exploring takeout and assumption opportunities. We believe assuming business from other carriers, such as citizens that meet our underwriting criteria, make sense in the current environment and could potentially offset any potential competitive pressures as the market cycle evolves. Pages 10 and 11 of our earnings presentation provide some additional color on pricing and valuation trends in our commercial residential business. We ended 2023 with premiums up 28% and exposures down 18% year-over-year, rate levels are moderating, but remain very healthy relative to current exposures, loss and expense trends. Even with direct written premiums flattening out, we are confident in our ability to grow net earned premiums in 2024 which is truly what will drive our bottom line this year. And finally, we would like to give a huge thank you to our partners at AmRisc for their exceptional contributions to our success in 2023 and also offer our sincere congratulations to both the buyer and the seller of AmRisc's parent company. American Coastal continues to enjoy a very strong and exclusive relationship with AmRisc in the Florida admitted commercial residential space and we do not expect any significant changes to our business because of AmRisc ownership change in the foreseeable future. With that operator, please open the line for questions.
Operator: [Operator Instructions] Our first question is coming from Greg Peters from Raymond James. Your line is now live.
Greg Peters: Well, hi, good afternoon, Dan and Brad. So Dan, in your comments you hinted about increased competition in your specialty commercial lines business. Brad, you also mentioned it. Can you give us a sense of what your expectation is in terms of pricing or rates in your specialty segment for '24 and how that might compare with what happened in '23?
Daniel Peed: Sure, it's Dan. We had so little competition last year that just about any competition is an increase. We see probably the main company where if the accounts' leave would be going to citizens and mostly due to a rate, just due to a rate being less expensive for the citizens' policy. We have also seen a few different carriers that are introducing products, but they tend to be a small number compared to the volume that American Coastal typically sees. So as far as REIT, we continue to expect that we will get rate increases. They just will be decelerating from the rate increases that we were getting over the course of the last 12 months. And I would expect that we probably will be up between 10% and 20% through the course of 2024 over the average 2023 rates.
Greg Peters: Okay, I guess the other comment I think you made was just sort of what the expected underlying combined ratio target was for '23, wondering if you want to venture a guess and give us sort of a range of what you think the underlying combined ratio target should be for the enterprise for '24, or give us some benchmark of expectation around what you think the margin performance will be understanding that there's volatility for cat.
Bennett Bradford Martz: Yes. Hi Greg, this is Brad. Well, the underlying combined excludes cat and reserve development, so that's the purpose of that measurement. It does allow us to create an apples-to-apples comparison across all years, regardless of what's happening with prior year reserve development, or the volatility associated with cat. But so we think it's a good metric, and we're still targeting 65% as of today. I think our reinsurance renewal at June 1 could change that outlook favorably or unfavorably depending on how we execute. But I think that's the big reset that we need to wait and see how our fixed costs related to reinsurance, as well as the variable costs associated with the quota share end up changing at June 1st.
Greg Peters: Okay. And then I guess pivoting to sort of the capital balance sheet situation. I guess, now you're closing down the ATM for the time being. Pausing it, I think, was the word you used. How should we think about capital adequacy across the enterprise? If you look to your debt to total capital leverage ratio, it looks elevated relative to your peers. But maybe I'm missing something. I think your RBC is probably running a little bit high right now. But if you can provide some perspective around your views on capital.
Bennett Bradford Martz: Certainly. You're correct on the statutory side, which is where we're most sensitive to our capital needs. American Coastal Insurance company ended the year with a risk-based capital ratio of 981%, so we feel like we've done a great job managing that, obviously, taking back more net premium risk with decreasing potential reinsurance spend could cause us to see a decrease in that RBC, but it will be offset by increased underwriting profitability. So the way we've modeled it out, I think we're all set on capital for the year. Obviously, we are working feverishly to unlock some additional liquidity by selling Interboro, which is a big reason we went to the ATM as we had -- we were somewhat disappointed in the timeline and the length of time it's taking to dispose of that asset and formally exit the personal lines business. But for right now, I think we're in great shape on policyholder surplus and RBC. And if we want to retain more risk, I think we have the capital to do it.
Greg Peters: Got it. I guess just pivoting back to your -- one of your other comments about takeout opportunities from citizens. I assume that's still that's focused on the specialty commercial side, that's not a pivot back into the personal residential side. Is that correct?
Bennett Bradford Martz: That is correct, yes. Good clarification. I apologize for omitting that. But yes, we've lost a few accounts to citizens due to rate differential and that's okay. That happens from time to time. But there is some good business that we'd like to get back and I think that's one way to do it. So we should be evaluating the opportunities there from time to time. And when it makes sense and the risks we're familiar with that meet our underwriting criteria are available, we'll consider it.
Greg Peters: Got it. Well, congratulations on the year.
Bennett Bradford Martz: Thank you.
Daniel Peed: Thank you.
Operator: Thank you. Next question is coming from Aryan Gupta from Eagle Eye Asset Private Limited. Your line is now live.
Aryan Gupta: Hello, Brad. Hello, Dan. Thank you so much. Congratulations on the results for the commercial specialty segment. I just had a couple of questions. So I guess have there been any updates on the fee income side of the business? I guess that's my first question.
Daniel Peed: I'll take that. This is Dan. We are working on some different opportunities, but I think as we have kind of mentioned all along, I wouldn't feel like that is something that is just imminently in the short term. It would be something that we build over time. We are still working on some fee business opportunities, but there is nothing there to report yet.
Aryan Gupta: Sure. That makes sense. And I was also wondering, are there any opportunities that you guys see in the E&S market, and you know, in the non-admitted market where potentially there might be, I mean, opportunities for growth?
Daniel Peed: Well, one thing that Brad mentioned is the opportunity for pretty significant growth in our net premiums written and net premiums earned from the standpoint of just eating more of our own cooking. Obviously, if you look at our numbers, there's a very large, ceded percentage in part due to our capital level at the beginning of last year. Obviously, that capital has been reinforced and we like the business that we're writing from a gross written premium perspective, and we may be able to have more of that hit in the written premium perspective. So that's one opportunity for growth and while it won't be as significant on the top gross written premium number, we don't think this year. But it could materially -- it could be significant on the net written premium number. So that's one opportunity, and we are exploring some other opportunities from the E&S side of business or potentially like, for example, in some reinsurance opportunities or stuff like that, but nothing that we're really prepared to discuss right now.
Aryan Gupta: Sure, that makes sense. And just one last quick question on the quota shares. Is that expected to sort of go down this year? And if you could give any sort of clarity on what that ends up being for the new renewal on 6/1 this year.
Daniel Peed: I would prefer that -- we can't really provide any specific numbers, but we have stated in the past that we did 40% quota share at June 1st of '23, and then we would expect that to go down to eventually 25%, 15%, 0% in the course of two to three years. So I would say, that would be our expectation going into 6/1/24 is for that to go down by a third to a half - the quota share component.
Aryan Gupta: Sure. Thank you so much, Dan.
Daniel Peed: Okay. Thank you.
Operator: Thank you. Next question is coming from Bill Dezellem from Tieton Capital. Your line is now live.
Bill Dezellem: Thank you. First of all, would you please discuss your view of the reinsurance market specifically as it relates to your renewal -- June renewal?
Bennett Bradford Martz: Yes, certainly. We did issue a press release describing some of the details of the January 1st, all other perils cat or AOP cat placement we did, spent $100 million a limit. So it's significantly smaller than our hurricane focused core catastrophe reinsurance program done at mid-year. But we did see just under a 10% risk-adjusted rate decrease on that limit, and we did buy more limit. So my comments were guiding towards -- we do expect to see -- more capacity available, the feedback we got at both 1/1 and 2/1 was that capacity is available, our reinsurers are hungry. They're remaining disciplined, so we have to be cognizant and mindful of that. But last year's program was distressed, right. We still have the cloud of uncertainty hanging over the company regarding the disposal of our former affiliate, United Property and Casualty. And it definitely impacted the pricing and the capacity available to us, as well as other terms and conditions. So we see, now that that is further away in the rearview mirror, and we've proven that we've got a very strong company and book of business, I think we're in a much better overall negotiating position. But we respect our reinsurance partners immensely, we need their support and we're playing long ball with them for sure. So while this is an annual opportunity to drive terms, and I do think we're a little bit in a sedent market at the moment, we'll have more details for you in the coming months.
Bill Dezellem: Thank you. And then secondarily, you've highlighted a number of things that you are doing. Would you please walk through for 2024 specifically, what you see as your most important strategic initiatives?
Bennett Bradford Martz: Sure. Number one is underwriting profitability, that's always job one. That's never going to change. Number two, is developing pathways for earnings growth, that doesn't mean top-line growth, it means earnings growth. So that can come in the form of fee income. It can come in the form of deploying capital intelligently, whether it's direct assumed or reinsurance, to earn strong returns on capital. The third, I would say, is to continue to support and complete the runoff of discontinued operations. So we still have a couple of things on our to-do list there, most notably Interboro, getting that sold and continuing to support the Department of Financial Services in any way we can. And then lastly, it's building bench strength. I think we showed everyone in January that we're serious about that naming two new named Executive Officers, Svetlana Castle joins us as our new Chief Financial Officer. I've known her a long time and am very excited she's joined our team. She will likely be participating on this call next quarter. She's here with us today, listening in and learning and getting up to speed on how we operate. But she's a terrific hire, and we also promoted from within and created a new position of Chief Compliance and Risk Officer. And that title is pretty self-explanatory, given what we went through in 2023. There's going to be increased emphasis on risk management and compliance at the company going forward. So those are my top four.
Operator: Thank you. We've reached end of our question-and-answer session. I'd like to turn the floor back over to Dan for any further closing comments.
Daniel Peed: Okay. Thanks, everybody, for your time and your interest on our company, and your time on this call. And that ends our call. Thanks again.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.